Operator: Good morning. My name is Annis, and I'll be your conference call facilitator today. At this time, I would like to welcome everyone to the BTB Real Estate Investment Trust 2025 Fourth Quarter and Annual Results Conference Call for which management will discuss the quarter ended December 31, 2025. [Operator Instructions] Should you wish to follow presentation in great detail; management has made a presentation available on BTB's website at www.btbreit.com/investors/presentations/quarterly meeting presentation. [Operator Instructions] Before turning the meeting over to management, please be advised that some of the statements that made during this call may be forward-looking in nature. Such statements involve numerous factors and assumptions and are subject to inherent risks and uncertainties, both general and specific, which give rise to the possibility that predictions, forecasts, projections and other forward-looking statements will not be achieved. Several important factors could cause BTB Real Estate Investment Trust's actual results to differ materially from the expectations expressed or implied by such forward-looking statements. These risks and uncertainties and other factors that could influence actual results are described in BTB Real Estate Investment Trust management discussion, analysis and its annual information form, which were filed on SEDAR+ and on BTB's website at www.btbreit.com/investors/reports. I would like to remind everyone this conference is being recorded. Thank you. I will now turn the conference over to Mr. Michel Leonard, President and Chief Executive Officer, accompanied today by Mr. Marc-Andre Lefebvre, Vice President and Chief Financial Officer; Mr. Charles Dorais, Vice President of Finance; and Ms. Stephanie Leonard, Senior Director of Leasing. Mr. Leonard, you may begin the conference.
Michel Léonard: Thank you very much. The year at a glance, we own $1.2 billion of real estate. Close to 60% of our value of the real estate was externally appraised in 2025. Regarding our investment activity, obviously, we're still focused on industrial assets with strong fundamentals, and we do have a pipeline in order to create opportunities to maximize the value of our portfolio. During the year, we disposed of 3 non-core assets, the first one in Quebec City, the second one in Saskatoon and the last one, a 50% interest in a retail property located in Terrebonne, Quebec. When we look at our leasing activity, the total amount of square footage under lease renewals and new leases concluded during the year is 742,000 square feet, of which 470,000 square feet represents the lease renewals with an increase in rent -- average rent value of 10.6% and new leases at 268,000 square feet. We concluded the year with an occupancy rate of 91.3%, a little bit lower than the year before and mostly caused, and Stephanie is going to get into this, but mostly caused by the fact that we weren't able to re-lease the property that is 132,000 square feet located in Laval, representing a little bit more than 2% of our occupancy. Regarding the densification, we're still active in changing zoning for certain sites that we own. And regarding the mortgage debt ratio, it lowered at 51.3% and the total debt ratio lowered again at 57%. Our payout ratio on FFO basis is 73.9% and on AFFO basis is 77.3%. ESG, we did release our ESG report, the second ESG report back in June '25, reporting on the activities for the year 2024, and our full report on ESG is available on our website. We did obtain during the year certification -- 13 certifications for BOMA BEST for the properties -- our properties located in the province of Quebec. It's not that we weren't active in the other provinces. It's just that the other provinces, the certifications were not up for renewal. So with this, I'd like to turn the conversation to Stephanie to go through the report on the leasing activity.
Stephanie Leonard: All right. Good morning, everyone. For those of you joining us online on our online presentation, we are currently at Page 8 of the presentation. So as Michel mentioned, our total leasing activity, which is the combination of new leases and lease renewals, totaled 472,000 (sic) [ 742,162 ] square feet for the year, of which 260,000 were new lease transactions and 474,000 are attributed to new lease renewals -- to lease renewals. Just to note that I am rounding up or rounding down on these numbers. Out of our new lease activity, 116,000 were concluded in our suburban office segment, 110,000 square feet were concluded in our Industrial segment, and 42,000 square feet were concluded in our necessity-based retail segment. Out of our most noteworthy transactions this year, so for 2025, we concluded a new lease with Kraft Heinz Company, representing 80,000 square feet in our Industrial segment located in Montreal, a 30,000 square foot transaction concluded with Value Village in our necessity-based retail segment also in Montreal, in addition to a 30,000 square foot lease signed with XCMG Canada in our Industrial segment located in Edmonton, Alberta. It's important to note that all 3 of these tenants' leases came into effect the day after the previous tenant's lease ended, therefore, not affecting our occupancy rate in the sense that the transactions kept our occupancy rate stable. We swiftly replaced the departing tenants without any downtime, therefore, creating no new vacancy. In addition, these replacements resulted in an increased NOI for their respective properties. During the year, we also did see a couple of tenants that elected to expand their premises in our portfolio. For instance, the Government of Canada increased their office footprint with us by roughly 14,000 square feet in Quebec City, bringing their total occupancy just shy of 23,000 square feet over a 15-year lease with us. In addition, the City of Saint-Jean-sur-Richelieu, more specifically the local police station, increased their footprint by just under 4,000 square feet, bringing their occupancy to 23,000 square feet with us. And lastly, Field Effect software company increased their footprint by 3,000 square feet, resulting in a 19,000 square foot total footprint with us in Ottawa and in our suburban office segment. Our lease renewal -- our total lease renewal activity for the year amounted to 474,000 square feet renewed for the year, of which 252,000 square feet were renewed in our suburban office segment, 214,000 square feet were renewed in our necessity-based retail segment and 400 -- sorry, 7,422 square feet were renewed in our Industrial segment for the year. It's important to note that our lease renewal activity not only included leases coming to maturity during the year, but also lease renewals signed with tenants whose leases come to maturity in the years 2026 and thereafter. Therefore, we're actively working to solidify our tenancies prior to their expiry. Important lease renewals were concluded during the year with Aubainerie for 30,000 square feet in our necessity-based retail segment in Montreal. With Hewlett Packard for roughly 30,000 square feet in our suburban office segment in Montreal. Again, with the Government of Quebec for a CLSC representing roughly 27,000 square feet in our suburban office segment in Montreal. And finally, with Canada Post for our suburban office segment located in Quebec City, representing roughly 22,000 square feet. In terms of our rental spreads for the quarter, we achieved a 6.7% average increase in our renewal rate or 10.6% for the year, which outshines our yearly performance since 2023. We were able to increase rents in our suburban office segment by 5.8% for the quarter or 12.4% for the year. And for an necessity-based retail segment, we increased rents by 7.8% for the quarter and 6.4% for the year. And it's important to note that there was no industrial lease renewals concluded during the quarter. Our occupancy rate, as Michel mentioned, at the end of the year stood at 91.3% a 20-basis point decrease compared to Q3 2025. As mentioned, the tenant replacements that we did conclude do not impact our occupancy rate. Although our occupancy rate does not decrease, we do not see the impact of these transactions through occupancy. Therefore, our occupancy rate is not always indicative of the quarterly or yearly leasing efforts concluded. In addition, we're still carrying that 2.2% impact of our 132,000 square foot vacancy in Montreal. During last quarter, we announced that we were in discussions with the group for the entire premises. Since last quarter, we are still working with the client, but their scope is ever changing. And you'll understand by this, this is a large international tenant. In addition to this client, we do have others in the pipeline that are interested for part of the space. So at this time, we're still working with the client and working with new clients. The other impact on our occupancy rate can be noted by a 28,000 square foot vacancy that we recorded in Ottawa. This was a known departure by a Government-based tenant whose funding was unfortunately not renewed. Leasing efforts are well underway for their space, which is easily subdividable, which creates better opportunities in the market. The second impact to our occupancy rate is due to a 24,000 square foot vacancy in Edmonton in our Industrial segment. Avison Young is currently mandated to lease the space, and we do have traction on it. It's important to note that the tenant that was departing, they were building their own building. Therefore, that's why they ended up leasing. And lastly, we have another 33,000 square foot space in Edmonton, which the previous tenant was in recurring default of the lease. And in order to mitigate our risks, we elected to terminate the tenant's lease. These events are unfortunate, and sometimes we do have to make decisions to terminate leases, therefore, creating vacancies that we don't necessarily want but we need to in order to protect the REIT and to protect our rights as well. Overall, coming out of 2025, we were able to seize opportunities to protect our occupancy rate, increase and align our properties and solidify good tenancies for our portfolio. As 2026 is underway and with the return to office mandates, we're seeing sustained activity in our respective markets with good opportunities within the financial sectors as well, which we do hope to be able to capitalize on. And on this note, I would like to turn the presentation over to Marc-Andre for a financial overview.
Marc-Andre Lefebvre: Thank you, Stephanie. Good morning, everyone. So the results for the year reflect healthy leasing activity and stable rental income, demonstrating the resilience of our business. For the fourth quarter, rental revenue stood at $32.3 million, a decrease of 1% compared to the same quarter last year. NOI and cash NOI both decreased by 4.4% and 5.1%, respectively, compared to the same quarter last year. Looking at cash same-property NOI, it decreased by 3.3% for the quarter compared to the same period last year. The quarterly decrease is driven by the industrial and office segments. The industrial segment was impacted by a planned departure at the end of Q3 of a tenant occupying over 24,000 square feet in Edmonton, also by free rent granted to a new tenant, XCMG in the industrial segment again and based in Edmonton and the impact of the new lease negotiated with the group of investors who purchased Lion Electric. Regarding the Office segment, the quarterly decrease is due to free rent granted to new tenants during the quarter in Ottawa and non-recoverable one-time expenses. Now looking for the year, NOI remained stable compared to 2024, while cash NOI increased by 1.9%. The increase in cash NOI is related to several factors, including: #1, a $1.1 million lease cancellation payment received by an industrial tenant with a planned departure at the end of the first quarter of 2026, a partial lease cancellation payment of $1 million recorded in the first quarter of the year from a tenant in the suburban office segment, and that space has already been re-leased. #3, a higher lease renewal rental rates; and four, a decrease of $0.7 million as a result of the dispositions concluded during the year. FFO adjusted per unit was $0.097 for the quarter, a decrease of $0.012 compared to the same quarter last year. This reduction was mainly driven by a decrease of $0.8 million in NOI. Adjusted -- AFFO adjusted per unit was $0.088 for the quarter, a decrease of $0.013 compared to the same quarter last year. For the year, AFFO adjusted per unit was $0.388, an increase of $0.007 compared to last year. The increase is mainly explained by a $1.5 million increase in cash NOI, a $0.5 million decrease in administrative expenses, a $0.3 million increase in expected credit losses and lastly, a $0.5 million increase in accretion of non-derivatives liability component of the convertible debentures. We maintain our distribution to unitholders at $0.075 per unit for the fourth quarter, which represents an annualized distribution of $0.30 per unit. The AFFO adjusted payout ratio was 77% for the year, a decrease of 1.4% from 2024. As previously mentioned by Michel, the value of our investment properties remained stable at $1.2 billion at the end of the quarter. BTB externally appraised 58% of its properties based on fair market value. So this exercise resulted in a loss of $4.7 million or 0.4% of the total portfolio value. The weighted average cap rate for the entire portfolio remained stable at 6.7% compared to the year-end 2024. During 2025, BTB disposed of 3 properties for gross proceeds of almost $20 million. Net proceeds were close to $14 million. This amount takes into account the balance of sale of $1 million related to the disposition of 1170 Lebourgneuf Boulevard, an office property located in Quebec City. We concluded the quarter with a total debt ratio of 57%. The weighted average term and average interest rate on our mortgage portfolio was 2.3 years and 4.5%, respectively. Finally, at the end of the quarter, we held over $5 million in cash and $25 million was available under our credit facilities for total liquidity over $30 million. So this completes our presentation, and we will now open the call to questions.
Operator: [Operator Instructions] Your first question comes from Matt Kornack with National Bank.
Matt Kornack: Just with regards to the industrial lease in the Montreal area, could you give us a sense as to what you think the potential timing would be as to whether you go with someone new or this existing international tenancy?
Michel Léonard: It's a little bit difficult because what we find is that decision-making process is very, very long these days, especially with this international tenant. And so we've been very patient. And it's like -- it would be wrong for me to give you a date or a moment in which we believe that the property would be leased. But we do believe that during 2026, the property will be -- will find a user.
Matt Kornack: Okay. And then maybe just more broadly for the portfolio as you look out over this coming year, obviously, the macro is always volatile. But do you have a sense as to whether there are any kind of known larger nonrenewals, any known larger potential leases, how we should think about kind of occupancy and your leasing spreads trending for the balance of the year?
Michel Léonard: For the balance of the year, in our radar, there's only one lease that we know is not going to be renewed. It's in Ottawa. It's with the federal government. It's a department of the federal government that is basically consolidating somewhere else. And we haven't heard from the government whether they have another user in mind for the space. So the lease is up in -- at the end of August. And so we haven't begun any discussion regarding a user for that space. So the address of the building is 2204 Walkley Road, and it's roughly 100,000 square feet. And this would be the only -- so far, this would be the only known departure that -- of significant traction that we know.
Matt Kornack: Okay. And then, I mean, the stock has obviously traded quite well. There's various things that work there. But can you give us a sense as to whether your capital allocation outlook has changed? I think, obviously, you still trade at a discount to NAV -- to your NAV, but it's maybe a little tighter than it has been. Would you look at equity as a potential way to grow the portfolio? Or kind of how are you thinking about growing BTB and making it a relevant or more relevant entity?
Michel Léonard: Relevant or more relevant. That's nice. Thank you. The -- I mean, crystal balling this is, I think that you have a better crystal ball than we do on that front regarding public markets. But it is obvious that if we -- if the stock continues gaining momentum, we would be in a position that we could raise capital and finally continue on our growth after COVID. And this would be very important to us. And so we're hopeful that this opportunity may occur in '26 or in '27 for sure. And we've always stated that our goal was to be at 60% industrial and raising capital would definitely help us purchase industrial assets in order to get closer to our goal of being 60% industrial. So it's very -- your question is difficult to answer in the sense that it's crystal balling the market. But yes, you're right. We do enjoy good traction right now in the market. I think that money that was kept aside in -- for the last 4 years is probably jumping into real estate these days. And so we're hopeful that investors will recognize our value and that will help us, as you use the term to become more significant.
Matt Kornack: Fair. And then just on the industrial focus. Obviously, the markets changed. Montreal, I think, in particular, is a little bit more challenging these days given some new supply and maybe weaker demand with Amazon and some of the other changes that have taken place there. But necessity-based retail seems to be exceptionally strong. Does that change where you'd want to be today? Or is it now the pricing to buy retail? So industrial is looking still kind of interesting from a scaling standpoint?
Michel Léonard: Well, we've looked at 3 opportunities on the retail front in the course of 2025. And as you just stated, the cap rates are going down in the -- in acquisitions in the sense that what we thought that we could purchase at a 6.5% cap rate is now at 5.5% or maybe closer to 6% or one opportunity was at 5%. We sold the retail property that we owned at a 50%, interest at a 5.6% or 5.8% cap rate. I'm just going from memory, so please don't quote me on that cap rate. But I know it was -- the first number is a 5%. So we do -- I mean, we would look at acquiring more retail. We will not look at acquiring more office. On the contrary, we're disposing, but we're still focused on looking at industrial assets. And I know that right now, the -- and you're right in saying that they've built a lot of brand-new properties in the Montreal area, Greater Montreal area and -- causing availability. But we understand that some of those are being leased. So that's -- it is -- it seems to be performing. I don't think that the rents are in accordance with the pro forma rents that they forecast when it was time to put the shovel in the ground. I think that they've come down, and it's probably hurting the developer or developers. So overall, I think that given our cost of capital and so on, it's probably the right time for us to jump into industrial. If you remember a few years back, there are some properties that were sold at a 3.5% cap rate in the Montreal area. And those are no longer in existence because the 3.5% was something that like a ship on the ocean. So overall, I think that the market is coming back for us in allowing us to purchase industrial assets. Unfortunately, we need to reduce our cost of capital in order to jump into necessity base. And as you're probably aware or have read that necessity base were under retailed, whether in the Greater Montreal area or Ottawa or even overall in Canada. So that becomes a difficult segment to invest in when your cost of capital is as high as ours.
Matt Kornack: That's fair. I mean, I guess, would it make sense then maybe to monetize if you can get something with a 5 in front of it from a retail standpoint and deploy that into maybe, call it, 6% to 7% stabilized industrial cap rate for good new product and do that accretively if you can't necessarily access the equity markets today? Is that a consideration? Or do you like maintaining that retail component?
Michel Léonard: It is definitely a consideration, Matt.
Operator: Your next question comes from Pammi Bir with RBC.
Pammi Bir: Just a couple of maybe quick ones for me. Just on the Walkley building, have you started the re-leasing process there? And -- or is the federal government potentially looking to find another, I guess, department, as you kind of mentioned. So just kind of curious on that property.
Michel Léonard: The answer is yes to both outcomes in the sense that we have mandated Colliers in order to seek new tenancy. We have tenants that have already walked the building, potential tenants. And in this case, we're -- as I mentioned, it's 100,000 square feet. And right now, we have a tenant that walked the property for 50,000 square feet. Regarding the federal government, they don't necessarily want to speak about it until 6 months prior to the end of their term. So we're getting close to it. And so we're hopeful that we'll have a conversation on that front. We read the papers as much as everybody on the call reads the paper in the sense that it seems that they're lacking space, that they don't know where to go back to their office space as a result of the mandate that the federal government has given to its employees. So we're reasonably confident that -- and we know that our property meets the criteria of the federal government as far as office taking. And so we're quite hopeful that they will look at seriously at our building.
Pammi Bir: Yes. I guess it sounds like there's some optionality there or maybe some potential to get it back. But it is a rather large building. What would sort of be the ballpark impact to NOI if it is fully vacated, I think you mentioned at the end of August?
Michel Léonard: I think an easy number to put is roughly $30 a square foot on a gross basis as the impact.
Pammi Bir: Okay. And how would you sort of characterize the vacancy in that particular segment of the market?
Michel Léonard: From what we understand from the brokers is that we are well located in order to find a new tenancy within the property.
Stephanie Leonard: If I could also add, Pammi, our zoning for the building is quite generous. So it kind of opens up the landscape for us to be able to think about other users than a traditional, let's say, private sector office building.
Operator: At this time, there are no further questions. Please go ahead, Mr. Leonard.
Michel Léonard: Thank you very much for attending our Q4 '25 conference call. As you could see, we do have a good traction in '25, recording a good increase in rents regarding our lease renewals and the new leases concluded as well. The necessity-based segment is performing extremely well, as we've discussed on this call. The industrial assets, I mean, are very stable for us. But as far as leasing, we had some challenges, and we talked about it. And we saw that our SPNOI for the year has increased by 2%, which is still a good increase. And -- however, we saw that our necessity-based segment, we saw that the SPNOI increased by 6.9%. So overall, I think that we're on the right footing in order to go through 2026, and we are addressing our vacancies, and we definitely are hopeful that we are going to end the year on a higher note than the end of 2025. So thank you very much for attending this call this morning. We appreciate your support, and we'll see you really soon on our reporting of the first quarter of 2026. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.